Operator: Thank you for standing by. This is the conference operator. Welcome to the Goosehead Insurance Fourth Quarter 2022 Earnings Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Dan Farrell, VP, Capital Markets. Please go ahead.
Dan Farrell: Thank you and good afternoon. Before we begin our formal remarks, I need to remind everyone that part of our discussion today may include forward-looking statements, which are based on the expectations, estimates and projections of management as of today. Forward-looking statements in our discussion are subject to various assumptions, risks, uncertainties and other factors that are difficult to predict and which could cause the actual results to differ materially from those expressed or implied in the forward-looking statements. These statements are not guarantees of future performance, and therefore, undue reliance should not be placed upon them. We refer all of you to our recent SEC filings for a more detailed discussion of the risks and uncertainties and that could impact future operating results and financial condition of Goosehead Insurance. We disclaim any intentions or obligations to update or revise any forward-looking statements, except to the extent required by applicable law. I would also like to point out that during this call, we will discuss certain financial measures that are not prepared in accordance with GAAP. Management uses these non-GAAP financial measures when planning, monitoring and evaluating our performance. We consider these non-GAAP financial measures to be useful metrics for management and investors to facilitate operating performance comparisons from period to period by excluding potential differences caused by various variations in capital structure, tax position, depreciation, amortization and certain other items that we believe are not representative of our core business. For more information regarding the use of non-GAAP financial measures, including reconciliations of these measures to the most comparable GAAP financial measures, we refer you to today's earnings release. In addition, this call is being webcast. An archived version will be available shortly after the call ends on the Investor Relations portion of the company's website at www.gooseheadinsurance.com. With that, I'd like to turn the call over to our CEO, Mark Jones.
Mark Jones: Thanks Dan, and welcome to our fourth quarter and 2022 earnings call. I will provide an overview of the key strategic accomplishments for 2022 and how they helped position us for our next phase of top and bottom line growth. President and COO, Mark Miller will then take you through some greater detail around driving operational excellence across the organization and Mark Jones Jr., our CFO will review our financials and outlook for 2023 and beyond. I'd like to start by sharing that Q4 2022 gave us another opportunity to demonstrate the strength and resiliency of our business model. We overcame housing market headwinds, delivering premium growth of 44% and revenue growth of 43% compared to Q4 2021. Core revenue growth for 2022 was 41% and EBITDA grew 76% as we gained nearly 400 basis points of EBITDA margin. 2022 was a year of substantial change that we believe was critical for sustaining future high levels of profitable growth as we become a much larger organization. Among these many efforts included an upgrade of the management team across the organization. We've now completed a repositioning of corporate sales to enable us to return to profitable growth in that segment of the business. Early results have been excellent with December, new business productivity growing 44% from a year earlier in January 2023, new business productivity also up to 44% year-over-year. What's most exciting to me and what bodes so well for our future growth is that January, 2023 new business productivity for first year corporate agents was up 77% from January, 2022. We've begun implementing the program to facilitate migration of select corporate agents over to the franchise network very successfully. We market this to recruits as a form of paid apprenticeship. So far in 2023, we've launched six new agencies from corporate and expect to launch a total of at least 30 this year. We are thrilled with the operating results to date. Mark Miller will provide more details in his section, but to give you a preview, these corporate conversions have been six times as productive as an average new franchise. So if this remains consistent, launching 30 this year has the potential to drive similar production growth as adding roughly 180 new operating franchises. This opportunity is proving very popular in the talent pools from which we recruit driving strong demand for Goosehead as an employer of choice for top talent. We've also reset recruiting expectations to our historical standards of quality and anticipate material corporate producer growth beginning in Q3 as the next crop of new college graduates join our team. We continue to rationalize our franchise system focusing on removing underperforming franchises and reallocating resources towards high performing ones that are in the scaling phase of their business. Our experience has shown that adding producers to our most productive franchisees is a powerful growth driver. On average, these agents deliver about 1.7 times the new business is adding an incremental franchise. Accordingly, we've created a dedicated team in corporate to support franchise hiring efforts and expect our franchisees to add 150 to 200 producers to the system this year. Based on precedent, we believe the capacity of these new producers could equate to roughly 250 to 350 new franchisees. Our franchise producer recruiting efforts combined with conversion of corporate agents into franchisees represent powerful opportunities to turbocharge the growth of our franchise business. Rationalizing the franchise system takes a little longer than corporate because of constraints in our franchise agreement. That being said, we believe these efforts will be largely complete by the end of the second quarter. We've continued to strengthen our service capacity focused on setting and achieving strong KPIs in service delivery to support and enhance the most profitable piece of our business, our growing renewable book. This has been accomplished by service agent hiring, reducing turnover, and leveraging lower cost capital resources to handle non-client facing clerical work. We're expanding our channels of distribution through partnerships. The previous announced partnerships with the National Association of Mortgage Brokers and the Association of Independent Mortgage Experts are good footsteps. We're in discussions to partner with several large mortgage lenders and servicers to provide insurance to their new and enforced blocks of business. We're also in discussions with several national real estate organizations. Implementation of digital marketing efforts around cross-selling and other referral business contributed significantly to growth in 2022 and is showing further momentum as we progress into 2023. We're also building on our previous investments to create a world class technology organization that enhances the client experience, delivers on our potential with quote to issue and accelerates the accomplishment of other key strategic priorities. While we've benefited from pricing tailwinds that will likely continue through 2023, we've also faced macro headwinds including historically low contingent commission levels and declines in housing activity across the country. We have never allowed the macro environment to be the primary factor driving our results. We remain externally focused on our clients in the market continuing to adapt and evolve so that we can deliver strong results in any environment. The future of our business continues to be very bright. We believe that our unique business model provides us with a powerful competitive mode. Replicating our accumulated experience and technological leadership would require massive investment in both dollars and time and can't be achieved quickly through acquisitions. The good news is we believe the people who have the money to legitimately challenge us don't have the patience to wait for years and years for a return. We remain focused on investing in and expanding our core business to strengthen our competitive position and our aspiration remains steadfast on becoming the number one distributor of personal lines P&C insurance in the country during my lifetime. With that, I'll turn the call over to our President and COO, Mark Miller.
Mark Miller: Thanks, Mark and hello everyone. I'm extremely pleased with the progress we made in 2022. We are very well positioned to drive high levels of revenue and earnings growth moving forward. During the year, we sharpened all aspects of our operations across sales, service and technology. We did this by upgrading talent and tightening our most critical operating levers. Growth remains our highest priority, but we're now relentlessly focused on quality and operational excellence in all areas of our business so we can also optimize profitability. Let me be clear about our priorities for 2023. We're focusing on increasing productivity across both distribution networks, improving our recruiting function to drive strong and sustainable growth of total producers across corporate and franchise distribution, continuing to invest in our service function to protect our client base and support our growing renewal book, expanding our digital marketing efforts to drive more cross selling and other referral business and improving our technology platform to support our core business and expanding distribution through partnerships. Let me take a few minutes to expand a bit more on some of these priorities. I'll start with our corporate sales function. Over the past couple years, we saw deterioration and per agent productivity levels. In mid-2022 we took swift and decisive action to remove underperforming agents. We strengthened our sales leadership team and redesigned our recruiting processes with greater emphasis on quality. By year end, the strategy resulted in corporate sales agents returning to their historically high levels of productivity. In the fourth quarter, corporate agent productivity increased 24% year over year. This momentum continued in January with average agent productivity up 44% and first year agent productivity up 77% year over year. We expect to begin ramping up corporate sales headcount again in Q3 after our new class of college recruits starts this summer. Until then, we will continue to optimize for productivity and selectively hire experienced sales professionals to bolster the team, but under no circumstance will we substitute quantity for quality, although we intentionally reduced our agent count by 37% in 2022, our total new business premium for corporate increased 11% in Q4. This premium growth was driven by the large increase in productivity for agent which helped fuel margin expansion. We are still targeting more corporate productivity improvement in 2023, and I'm very confident that the changes we made will allow us to deliver strong year-over-year corporate sales growth in the back half of 2023. On the franchise side, we have aligned management and recruiting compensation to incentivize quality signings and faster launches, focus franchise sales on specific geographies and established a dedicated recruiting team to source producer talent for our scaling franchises. While we've driven strong results and franchises overall, there have been a wide, there's been a wide disparity of performance among our existing franchises. To give you some additional color, the top half of our franchises accounted for around 90% of our new business production in the franchise network of 2022. We continue to put the bulk of our resources into supporting the organic growth of these successful franchises and identifying new franchise owners with the best probability of joining this elite group. Our efforts around franchise recruiting are already starting to take hold with improved launch times and increased productivity of our less than one year franchises. We have also made great strides in improving the quality of existing franchises. In 2022, we called over 280 underperforming franchises from our network, the vast majority of which failed by not implementing our model or putting in full-time efforts. This had minimal impact on our growth as these franchises accounted for approximately 2% of our new business production, but consumed a high percentage of valuable resources. Our higher than normal polling slowed operating franchise unit growth by approximately 10 points in 2022, but had almost no impact on our new business generation. We will continue to eliminate low performing franchises at a higher than historical rate during the first and second quarters of this year, but expect our culling to be complete around mid-year, after which point we expect operating franchise growth to accelerate. We are also increasing our efforts to launch successful corporate agents into franchises. In 2022, we had 12 corporate agents transfer and open franchise. Their new business productivity was nearly 5x the first year franchise productivity. Productivity has been even stronger, the more recently launched franchises from corporate. Those converting from corporate so far this year are tracking at six times the average first year franchise productivity. These ex-corporate sales agents are not only strong producers, but they also have the skills necessary to build their own multi-agent franchises. We believe we will be able to convert a significant number at least 30 of high-performing corporate agents to franchise partners in 2023.
Blaine Brawley,: Our financial results are much more correlated to the total number of agents and their production, not the number of agencies. We ended the year with 2,101 franchise producers. This was up 15% from a year ago. We expect overall franchise producer growth to significantly accelerate in the back half of 2023. This growth will be driven by the addition of net new agencies as well as organic agent growth from our enhanced recruiting efforts. Now switching to the service function, we've made substantial progress in 2022. We grew our service agents 50% to around 600 and materially improved service agent turnover through the year. This investment has resulted in substantial reduction in our call wait times and has sustained our NPS of 90. Our service team is now well positioned to support our growth as we continued to deliver high NPS and retention in a tough operating environment. We are now also focused on driving automation and reducing cost per policy in force. Last year we also made substantial progress on various digital marketing efforts, driving higher cross sell and other referral business from our existing book, increasing new franchise leads to our recruiting team and increasing our brand recognition. While we have made quick and substantial progress through our marketing efforts, I feel like we're only beginning to scratch the surface of our potential in this area. On the technology front, we're continuing efforts on direct quote to issue with a number of carriers and I'm looking forward to giving you more updates on our progress as we move through the year. With our existing capabilities and new investments, we are in an enviable position to lead the digital transformation of our industry for the benefit of our clients, agents and carriers. I see no other company with the opportunity we have to shape the direction of the industry and to drive strong profitable growth for a sustained period of time. I couldn't be more excited to help drive the next phase of this already incredible organization. With that, I'll turn it over to Mark Jones, Jr.
Mark Jones, Jr.: Thanks, mark and hello to everyone on the call. Our strong results in the fourth quarter further demonstrate the embedded strength and consistency of our business model. Insurance is a necessary product for the majority of the population and our ability to gain increasing market share is enormous. Our choice product platform, expert agents and industry leading technology provide an easy seamless shopping experience for clients. Our client value proposition is even more powerful as consumers navigate the challenges posed by the current hard insurance markets. We are in a unique position in the marketplace as a fast growing disruptive model with strong and expanding profitability and cash generation with limited balance sheet risks. We do not see a peer in the market that matches our abilities and we believe our competitive mode will only continue to expand. 2022 was a year of significant change as we addressed challenges emerging in our business. We saw an increasing disparity of performance among our agents, both corporate and franchise, where the most successful producers drove the majority of our growth. We also identified a significant number of underperforming producers whose low productivity was eroding profitability and consuming valuable corporate resources while creating management distraction. We took decisive steps in 2022 to improve the quality of our recruiting process and manage out unprofitable agents, leaving us with a much stronger and more efficient sales force. While executing these strategic improvements, we continue to drive strong results. For the fourth quarter of 2022, total written premium, the key leading indicator of future core and ancillary revenue growth increased 44% to $585 million. Performance of our renewal book, which represents the majority of our underlying profit, has been exceptional. This is driven by investments in execution and servicing, high client retention of 88%, and benefit from P&C pricing with the net effect being premium retention of 100%. As we progress through the year, we expect that gradual slowdown and premium growth as lower new business growth from 2022 impacts growth for renewal book in 2023. However, we are already seeing improved agent productivity that should allow us to pivot back to stronger producer growth in 2023. We believe this productivity improvement and expected growth in producers will have a greater benefit in overall premium in 2024 and beyond. Increased culling of underperforming franchises is continuing to moderate overall operating franchise unit growth and we expect this to continue through the first half of 2023. At the end of the fourth quarter, operating franchise count was 1,413, up 18% from a year ago. Fourth quarter agency turnover was approximately 6%. We expect franchise churn to be high relative to history in the first half of 2023. However, we anticipate the culling of weak agencies to be offset by improved productivity, our efforts to add producers to scaling franchises and launching of new franchises from corporate producers. As a reminder, these terminated franchises have virtually no impact on premium and revenue growth as they account for approximately 2% of our new business production. We will continue to focus our resources on our most successful franchises, which drives the vast majority of our growth and remain diligent in demanding high standards of production from our producers. Our 98 launches in the quarter were up 11% from a year ago as we're balancing our robust franchise pipeline with increasing standards of quality for recruiting new franchises, which we expect maximize their probability of success. To give some perspective on the range of performance among franchises, the top 25% of franchises account for about 70% of new business production and the top 50% account for about 90% of our production. Experience has taught us that differential management investments and resource allocation to these agencies moves the needle materially on productivity and you'll see more of that. Operating franchise unit growth will be a little slower than our historical rates as we rationalize our portfolio of agencies. However, we expect increasing growth of total franchise producers in the back half of 2023, which were 2,101 at year end. We are very excited with our newly dedicated recruiting resources to help scaling franchises source talent. Adding new producers to existing franchises continues to be about 1.7 times more beneficial to new business than adding a new franchise, and we have early indications that the producers we are sourcing for our existing franchises are performing at a higher level on average than the producers the franchises are sourcing separately. Additionally, we are having early success and launching new franchises from our strongest corporate agents. These franchises that launched this year are six times the new business production on average of new franchises, and importantly, they will be well positioned to quickly scale their own operations as many of these new owners previously managed teams of producers and corporate. We have reduced the corporate sales team from 503 at the end of the second quarter to 320 at year end. While the reduction in corporate sales headcount was significant, it was necessary to restructure the corporate network for profitable growth in the future and results overall have been exactly what we were striving to achieve. We have produced meaningful and sustained improvements in productivity per agent and are already showing improved profitability that naturally follows. Our overall corporate new business premium in the fourth quarter grew 11% despite a 37% reduction in headcount from a year ago. As we mentioned, we're beginning to add headcount back to corporate sales strategically for optimal growth without sacrificing profitability and to create the capacity to feed corporate agents converting into franchises. We expect material headcount growth beginning Q3 with the next big wave of recruits joining us upon their graduation from college this summer. Total operating expenses for the fourth quarter of 2022, excluding equity-based compensation and depreciation and amortization were $45.5 million, up 30% from a year ago. Compensation and benefits expense, excluding equity-based compensation, was $30.5 million for the quarter, up 30% from the year ago period. The increase in compensation and benefits is being driven by increased overall headcount, particularly in the hiring of service agents to manage our largest revenue stream renewals, recruiting and onboarding functions to continue our growth trajectory and systems developers to ensure our technology is on the cutting edge for our clients and internal users. General and administrative expenses for the quarter $13.5 million, an increase of 33% from a year ago. Growth in general and administrative expense was due to investments in technology, systems and marketing efforts to drive growth and continue to improve the client experience. Our bad debt expense was $1.4 million compared to $1.2 million a year ago with the increase largely driven by our culling of signed franchises that have yet to launch. Total adjusted EBITDA in the quarter grew 123% to $11.9 million compared to $5.3 million in a year ago period. EBITDA margin was 21% versus 13% a year ago. Excluding contingent commissions, EBITDA margin expanded 12 percentage points over the previous year quarter. Adjusted EPS was $0.11 versus $0.06 in the year ago period. Income tax expense for the quarter was $2.6 million versus $354,000 in the year ago period with the increase being driven by changes in state deferred taxes and changes in deferred taxes related to management departures. Going forward, we expect to drive annual margin expansion, excluding contingent commissions for the next several years as we continue to scale our operations. Our expectation is over the medium term, the next three to five years, we can grow premiums in the range of 30% annually and achieve EBITDA margins in the range of 30% over that time period. Over the long-term, we expect a normalized EBITDA margin for this business is north of 40%. As of December 31st, 2022, the company had cash and cash equivalents of $28.7 million. We had an unused line of credit at $49.8 million at year end and total outstanding term no payable balance was $94.4 million at the end of the quarter. Our guidance for full year 2023 premium and revenue as is follows. Total written premiums placed for 2023 are expected to be between $2.83 billion and $2.96 billion, representing organic growth of 28% on the low end and 34% on the high end. This assumed slower growth and premium pricing in the back half the year. No material benefit from our new distribution partnerships or direct to consumer efforts and the continued challenging housing market in 2022. Total revenues for 2023 are expected to be between $258 million and $267 million representing organic growth, 23% on the low end of the range, 28% on the high end of the range. Driven by continued high levels of poor revenue growth, offset by an assumption of still historically low contingent commissions of around 40 basis points as a percentage of premium. The gap between revenue growth and premium growth will be larger in the near-term due to our strategic efforts of productivity improvement and corporate. However, over time, premium will remain the best indicator of future revenue growth. We expect to grow total EBITDA margin in 2023 with more meaningful growth of margin excluding contingencies. Our business is continuing to exhibit significant momentum despite some short-term challenges that we are positioned for sustained high levels of profitable growth going forward. We look forward to continuing to deliver on our goals in 2023 and beyond. I want to thank everybody for their time, and with that, let's open the line up for questions. Operator?
Operator: Thank you. [Operator Instructions] The first question comes from Meyer Shields with KBW. . Go ahead.
Meyer Shields: Sorry, thanks. Good afternoon everyone. One, I guess big picture question. You talked, I think several of you in your prepared comments talked about a wide range of productivity. Is that only in the newer recruits? Are you seeing that variance in productivity among longer tenured agents as well?
Mark Miller: I'll take that. This is Mark Miller. I would say it's predominantly in the less than two year agencies, but there have been some in the, you know, beyond two years agencies, but mostly newer ones.
Meyer Shields: Okay and do you have the ability to sort of identify where some of the longer tenure agents might also be facing productivity challenges going forward?
Mark Miller: I'm not sure I quite understand the question. Can you try it one more time?
Mark Jones: Yes, I think, Meyer, it's Mark Jones. I think if I understand you correctly, it's are we able to identify productivity down to the agency level, so that we can help support those that maybe facing productivity challenges? The answer to that is, yes. We’ve got kind of all the data down to the agent level, not just agency level cut by line of business and geography and every other way that you can cut it.
Mark Miller: Yes. And Meyer, we’re taking all the steps that we can to continue to drive productivity through the agent’s lifecycle. We have all kinds of training programs that they continue to go through, not just in their first year, but in years two, three, and four, as they develop their business to make sure that they are onboarding, they are hiring, they know what the carrier portfolio looks like in their region today, help maximize their time so they can drive higher levels of productivity. Some of that is still just working its way through the system like we talked about in Q3, right. We’re still churning out some of those underperforming agencies. We just want to drive more productivity out of fewer agents to maximize profitability.
Meyer Shields: Okay. That’s helpful. And if I can fill in one last question, I guess it’s for Mark, Jr. It sounds like you are still cautious on 2023 contingent commissions despite the rate related tailwinds that you’re seeing in written premium productivity. I was hoping you could talk that through that.
Mark Jones Jr.: Yes, we’re continuing to see rate maintain very high levels. I still think carriers have a decent amount of work left to do to recover from some of the 2020 and 2021 rate give backs. I think loss ratios have remained very high for a lot of carriers. We’re seeing a very hard P&C market right now. And there’s maybe potential for upside in that in 2023, but I don’t want to promise something that’s outside of my control than, I would rather tell you a number that’s 40 basis points and maybe we could outperform.
Meyer Shields: Okay, fantastic. Thank you so much.
Operator: The next question comes from Matt Carletti with JMP Securities. Please go ahead.
Matt Carletti: Hey, thanks. Good afternoon. I had a couple of questions, and the first one, yes, this will be high level. I know you can’t drill down into numbers on it, but maybe I’m just looking for more of a gut feel. You referenced a number of times on the call, kind of the housing market headwinds and also, and the release and on the call, kind of the benefit from auto and home rates and kind of expecting those tailwinds to persist. And so the question is kind of how, if you put those two together where do you think you'll land? Is the pricing that’s coming through an auto and home a bigger than the housing headwind, other way around or just can’t tell?
Mark Jones: Yes, Matt, I would say, housing initially when we were still trying to figure out how to get agents out pounding the pavement more, developing more RP relationships and trying to recover that lead flow, six or eight months ago, maybe that was a little bit of a different story. Now we’re seeing agents hit all-time highs still every month even in a more deteriorated housing environment. And so I really, like, we’ve been messaging for the last six or eight months is that housing is not impacting us as much as I think the market is expecting it to. Our agents are still out there being very productive. We’re seeing huge productivity increases on a year-over-year basis especially with our corporate agents and we’ve got the P&C pricing tailwind to boot on top of that. So my expectation is when that pricing tailwind starts to slow down, we get product, better product on the shelf across the nation, and that’s going to allow us to drive even higher levels of productivity. So it’s kind of two sides of the same coin and I think we’re well positioned to win in either environment.
Matt Carletti: Okay, great. And then just a followup on, some of the partnerships that you mentioned that, you’ve already announced and I think mentioned there should be some other ones coming, just high level, like how do you look at those in terms of how big a contributor they could be to your growth, over a several year period, look out three to five years? And just functionally, if you have figured it out yet, kind of how will that kind of, how will that work in terms of, flow going to the agents and in commissions and things like that if they come, if it’s a referral from one of those partnerships?
Mark Miller: Yes, Matt, I don’t -- this is Mark Miller. I don’t really want to go into the specifics on how it’s going to flow yet, because each one of these relationships is different. I can talk to you about the ones that we’ve done so far with the Mortgage Broker Association. So those are two of the largest Mortgage Broker Associations, I think they are the two largest mortgage broker association in the United States. We have a clear, they've announced us as their exclusive agency partner. It’s still early innings, but some really nice wins there. So it’s cracking the door open and some large mortgage brokers that we’ve been trying to get inside of for quite a while. We had one really good win in Austin this last week where it opened up a whole bunch of referrals. So I’m very optimistic about what it could do for the future. Until we get one of the major partners that we’re talking to right now in the boat, I don’t really want to speculate on how big it could be, but I think it is upside; it’s not built into our models at this point.
Mark Jones, Jr.: Yes. And Matt, these two that we’ve just announced, are really hardening our current go-to-market strategy, that should help drive additional lead flow and kind of maximize agent productivity. Some of the other ones that we’ve kind of got in the hopper from mortgage services companies or real estate organizations, those could have the potential to be a brand new channel of distribution for us outside of what we’re doing today. So I think there’s very material upside in future partnerships and we just kind of continue to work at those throughout the year.
Mark Jones: I will just add, I appreciate some of the mortgage strength. Yes, some of the Mortgage, it’s Mark Jones, some of the mortgage companies that we’re in discussions with right now, we’re talking to them about not just helping them with kind of inbound deal flow that will go up or down based on what’s going on in the housing market, but also their enforce block of business that they’re servicing. So if you think about it, every year that escrow payment comes up for review, and when there’s a significant increase in escrow payment because of insurance, we can provide a clean, simple solution to them that is completely decoupled from the housing market. It’s just it’s coupled with the calendar, but not the housing market. So we’re pretty excited about that.
Matt Carletti: Great. That’s really helpful color. I appreciate all the answers.
Mark Jones: Thanks Matt.
Operator: The next question comes from Paul Newsome with Piper Sandler. Please go ahead.
Paul Newsome: Good afternoon. Thanks for the call. So just to maybe step back a little bit on the commentary about productivity and continuing to cull a little bit and the expectation for a resumption or an acceleration of franchise growth in the back half of the year, should we expect that, both the revenues should be if we sort of mix all these things together, should also be a little bit more backend loaded because of the continued culling or should we expect a sort of similar seasonality for what we’ve seen in the last year or so?
Mark Jones Jr.: Yes, Paul, I would expect probably similar seasonality, because when you think about what a franchisee begins to add to revenue when they onboard somebody, and they’re very heavy new business bias as opposed to having anything in their renewal book, we’re only getting 20% of that. But I would point you to the gap between premium guidance and revenue guidance for the year and so that can help show the difference of how we’re transitioning some corporate agents into franchise and where that revenue split. So we’re still keeping those policies on the book, but now we’re recording 20% of new business revenue as opposed to a 100%.
Paul Newsome: Fantastic.
Mark Jones Jr.: And then failing of the existing agencies as well, as they continue to add producers throughout the summer months, that new business is going to come in the second half of the year, but again, it’s a $0.20 on the dollar type deal. So you would expect that to follow the kind of the normal seasonality, but really start to take hold in the renewal block in 2024 and 2025.
Mark Jones: But with our corporate agents, we should see -- with the kind of recruiting cycle, the place that we’re in the recruiting cycle right now is that we’re not going to have a lot of incremental corporate agents really before the start of the third quarter. But once we hit the start of the third quarter, we’ve got our new college graduate classes coming in, and so a 100% of that revenue is recognized. So we should, that will help us in the back half of the year.
Mark Jones Jr.: Yes.
Paul Newsome: That’s it from me. Thanks, I Appreciate that.
Operator: The next question comes from Andrew Kligerman with Credit Suisse. Please go ahead.
Andrew Kligerman: Hey, good evening. First question is around the retention ratios. So we calculated 78.5% for franchises and I guess prior to COVID it was in like the low mid-80s. During COVID 2021 period, it was like 90 to 92. So do you kind of anticipate getting back to that sort of mid-80s retention and would that timeframe be as soon as the second half of the year?
Mark Jones: Yes Andrew, I would say we are, we’re focused on driving success out of the existing operating agencies, but as well as adding total producers less totally focused on the operating agency number, more totally focused on the total number of producers out there, but our expectation is the culling of underperforming agencies will be largely complete by the end of the second quarter, which is when you would start to see the turnover rate start to slow down. You might not see the growth rate in operating agencies as high as you would have historically, but that’s because we’re funneling those resources into the agencies that are producing a disproportionate amount of our new business growth, so that we can work with more scale individual franchises and maximize the total producer count, not necessarily the total operating agents account.
Andrew Kligerman: So some improvement, just hard to say at this stage in the game and more focused on productivity, I got you. And then with respect to kind of the, I was kind of reading the press release and you increased terminations of signed franchises that have yet to launch. And then I think about this, these 180 franchises that didn’t work out, but they only generated 2% of volumes. Could you, two parts to this question, one what was it in the recruiting of these franchises that didn’t work and what is the solution that’s going to fix it? I mean, I think I heard that you were saying, you’re going to, you’ve hired more servicing people and so forth, but very curious as to kind of what went wrong with this group and what exactly is the fix?
Mark Jones Jr.: I’ll take that. We had this weird market phenomenon of the COVID pandemic that none of us really knew with certainty how we were going to manage through it. Recruiting became very easy. Franchise recruiting became very easy, particularly early on in the pandemic because people thought they were going to lose their corporate jobs and they were looking for another way to earn a living as things progressed. So they signed up, but they didn’t really commit. And so, we had a bunch of people on our books that we hoped would launch, but their lives changed when they realized they could go back to their corporate jobs and so we had a number of them that sort of just didn’t materialize. So there’s a few things that we’re doing to make sure that that doesn’t happen again. So one is, we are increasing our kind of quality threshold. We’re letting much fewer, many fewer potential franchisees through we’re trying to make sure that we’re very comfortable that they’re going to actually be able to build an agency. We have changed compensation for both the recruiting team and the team that manages those franchises, so that they’re sharing in the success of the new business that’s being generated by those new franchises that tends to sort of focus everyone on what we need them to do. But importantly, we’re really kind of doubling down on investing where it is going to really move the needle. And that is helping scale agencies that are in the, at the stage of their maturation, where that’s possible. And we indicated that we have that dedicated recruiting group in corporate. Each agent that we add to a successful franchisee has been generating about 1.7 times the new business of an entire new franchise. So we’re getting a lot of leverage out of that. The other lever that we’re pulling there is opening the aperture for corporate agents to convert into franchisees. And that is really, that’s recruiting on steroids because those guys have been generated. So far the ones that we’ve opened this year have been generating six times the new business that another, the average new franchise was. So if you think about it, the impact of us recruiting into agencies, the impact of us doing just the planned corporate conversions this year, could get us the impact of in the ballpark, in the zip code of another 500 launches. And we are being just, like I said, much more careful about who we let through. So there’s basically, there’s a, that’s a long answer to a short question, but it’s -- there’s a bunch of levers that we’re pulling.
Andrew Kligerman: Excellent answer, very helpful. And maybe just one last quick one, just in terms of who you’re recruiting into the franchises, are they predominantly coming from these exclusive agent channels or are you getting people that are not necessarily insurance producers at the time?
Mark Miller: Yes, this, Mark Miller, I'll answer that question. I would say probably at least 75% of them come from a captive sort of environment where they were an insurance agent or they were an independent agent at one point in their time. It’s one of the things we look for when you were asking, how do we qualify these people? That’s one of the qualification that we look at is, do you have prior insurance experience? But not exclusively. We’ve got some excellent agents that never sold insurance before when they entered our model. So it’s both, but more heavily weighted towards people that have sold insurance before.
Andrew Kligerman: Very helpful. Thanks a lot.
Operator: The next question comes from Mike Zaremski with BMO. Please go ahead.
Michael Zaremski: Hey, good evening. Hoping you could help unpack the margin expansion guide for full year 2023 over 2022. Maybe it’d be helpful if you could offer any color on what kind of drove some of the margin gains in 4Q, maybe that’s some of the momentum we should be thinking about it into 2023 because it sounds like contingence isn’t a big driver based on the commentary, so that maybe there’s some upside there. But anything, a lot of pause momentum you guys have given color about on the call, anything specifically you’d want us to think through?
Mark Jones: Yes, so productivity, especially with corporate agents, drives a significant amount of earnings. When you have an agent that’s producing below what we would expect from a breakeven perspective, that is makes it really challenging to drive really high margins. And what we’ve seen is in Q4, 24% increase in corporate agent productivity. That’s very helpful for driving margin expansion. The other thing is our renewal buck is performing extremely well. 88% client retention layer that on top of P&C pricing. I think we should take credit for where we are in the value chain, to the tune of a 100% premium retention. Renewal business is far more profitable than new business. So that was also very helpful from a market perspective. And on top of that, we’ve got a lot of cultural shifting to really create smarter and tighter controls in the way we’re investing capital. So people are making better decisions from an expense perspective today than we have in the past.
Michael Zaremski: Okay. Thank you very much.
Operator: The next question comes from Mark Dwelle with RBC Capital Markets. Please go ahead.
Mark Dwelle: Yes, good evening. Just building on that last set of questions related to the margin guidance. Just to be clear, we’re the baseline guidance we’re starting with is the 18% adjusted EBITDA margin that you achieved for 2022, that’s the baseline and you’ll grow off of that base?
Mark Jones: Correct.
Mark Dwelle: Okay. And then in some of your comments, you suggested getting to sort of a 30% EBITDA margin over, say a three to five-year timeframe. Would it be right to assume any linearity between the 18 that we’re at now and 30 in say five years, that would be 2 or 3 points a year or is it going to be more non-linear than that?
Mark Jones: Yes, there’s puts and takes in any given year. Contingencies can swing that number relatively wildly, but if you normalize for all of that, that would not be an unreasonable assumption. A relatively linear fashion, I mean a contingency year in excess of historical average could make that happen faster. A contingency year that’s below what we’ve seen this year could cause that to slow. But in general, we’re expecting to scale our G&A and our compensation expense on core revenue growth.
Mark Dwelle: Okay, thanks. And then on that topic of contingencies and I’m, if I’m doing my math right, at the midpoint of your premium guide range, that would be contingence for the year in the $11.5 million range, again kind of just at the midpoint using 40 basis points. Is that, am I thinking about that the right way?
Mark Jones: Yep. You’ve got that ballpark about right.
Mark Dwelle: Got it. And then the other question that I want, well, one other -- two other questions. One question, can you just talk through again, you indicated some increases that impacted the tax rate in the quarter and I couldn’t write that fast. So could you talk through those real quick again?
Mark Jones: Yes, so some non-cash deferred tax asset changes related to management departures as well as a couple of effective state effective tax rate changes that impacted deferred just flipped from deferred to current. So that’s how I would explain it without having to have a tax degree.
Mark Dwelle: So the management departures part, that would be hopefully unlikely to be a recurring component that the other part would be presumably somewhat ongoing.
Mark Jones: Right.
Mark Dwelle: Got it. And then the last question that I had, this [indiscernible] of all of the things that have already been previously discussed about, how you plan to, kind of reposition your franchise intake rate and so forth, would it be right then to assume that the initial franchise fee component of revenue, that that would also probably see a lower growth rate than it has in the past and potentially be a little bit more backend loaded this year relative to, the more linear that it’s, it has tended to be or is, am I over interpreting that?
Mark Jones: No, I think that’s about right. I mean, really what’s driving that level of increase in this year were some of the increased culling of agencies, because from a GAAP perspective, you fast forward the franchise fee revenue to the extent you have cash when you terminate an agency. So there’s no cash flow impact. But there’s just regular P&L impact. By the time we get through the second quarter, that termination rate should slow down which would then cause that franchise fee revenue piece to slow down from a growth perspective. But it also, the offset of that is you should not see as much bad debt expense be flowing through from culling of the sign, but yes to launch franchises, we’re getting relatively close to being done with that pipeline as well. So you may see franchise fee revenue not growing as quickly, but in reality that is just a cost recovery mechanism. That’s not what we’re trying to do to drive long-term profitability in the business. We’re focused on adding new business and retaining the existing clients. And then the other side of that is, you’ll see bad debts slowdown in the second half of the year as well.
Mark Dwelle: Understood. Thank you very much.
Operator: The next question comes from Pablo Singzon with JPMorgan. Please go ahead.
Pablo Singzon: Hi, thank you. Most of my questions have been asked already, but I just wanted to, I guess, follow up on comments you can give on the corporate side, because you sort of discussed the changes you’re making on the franchising side, but maybe talk through, changes that you’re going to make on the corporate with regards to maybe recruiting or even compensation sort or how to think about, what you’re doing differently now versus what you did the past couple of years?
Brian Pattillo: Sure. Hey Pablo, this is Brian Pattillo. So as you know, we have been seeing kind of a lower productivity in corporate sales, so we took aggressive action this past quarter to really get that turned around. So to your point that’s the first thing is we had to raise the bar on recruiting and make sure that we’re slowing down hiring to make sure we have just absolute top quality talent coming into the team. And then, yes we managed out bad performers and really those things combined really shifted the culture to courage, the culture of excellence where just mediocrity isn’t tolerated which led to significant productivity gains that we saw in December and January. But I think most importantly is the fact that we were able to produce more new premium in Q4 with significantly fewer agents. So that’s a much more profitable business and really just a stronger foundation to grow on in the future that I think now we have stronger absorptive capacity because we’re plugging in new agents through a highly successful, highly productive team with a great culture that’s ready to win. So it’s across the board, it’s changing recruiting, managing low performing agents, improving the culture and just getting back to a point, where we’re seeing productivity, where we want it to be.
Mark Jones: Yes. And Pablo, just to piggyback off that, for the future of corporate sales, we should be looking at this as an awesome feeder program into very successful franchisees that we know are going to grow and scale. And so it’s not necessarily like we want to hold onto a corporate sales agent for 10 years. We want them to turn into a business owner and multiply themselves and create an army of producers underneath them.
Pablo Singzon: Understood. It sounds like you didn’t change much in the compensation site in the corporate channel.
Mark Jones: We made a couple of little tweaks changing some manual things to monthly type things, nothing wholesale.
Pablo Singzon: Understood. And then last one from me, just a quick numbers question. The revenue retention above a hundred, I might have understood, but do you expect just in the first half of 2023 or through most of 2023?
Mark Jones: Sorry, Pablo, I didn’t quite get your cash question. Could you repeat?
Pablo Singzon: Yep. The revenue retention over a hundred, right? So basically your renewal premiums being, more than new business you wrote last year, right? Like for like, because of pricing, do you expect that positive com to persist through most of 2023 or just through the first half, right, because you do end up bumping against the first half?
Mark Jones: We expect premium rates to continue to be a tailwind through at least the second quarter. There’s a potential that that could continue through the back half of the year. I’m not counting on that. Our guidance doesn’t include continued acceleration through the back half of the year. But it’ll really depend on how successful the carriers are on generating underwriting profitability.
Pablo Singzon: Understood. Thank you.
Operator: The next question comes from Ryan Tunis with Autonomous Research. Please go ahead.
Ryan Tunis: Hey, thanks. So yes, I just, I guess listening to, I guess the two issues are sort of the disparity of productivity in the franchise channel, some of that in the corporate channel as well. And you have fewer corporate agents selling and I guess just like looking at the results, it’s surprising a little bit to me that it’s difficult to really see that much of a negative impact from a new business standpoint. And I guess, for whatever reason what you’re describing, it would seem to me like maybe I see renewal well down quite a bit more than they actually are. So I’m just wondering is, are there headwinds associated with this from a new business perspective that we should expect to see in the coming quarters and we haven’t yet?
Mark Jones: So we talked about in the prepared remarks that in 2023 you’re going to see that premium growth gradually decline as the lower new business for 2022 converts to lower new business and or lower renewals in 2023. But we plan on pivoting that new business growth back to accelerating by the second half of 2023 as we add producers into existing agencies. That we talked about our 1.7 times as productive as a new agency as we launch corporate agents and the franchises that are six access productive as a new agency. So there’s a lot of levers we’re pulling to juice productivity and get the new business growing again faster. But we had to take all of those actions in 2022 to make sure that we could maximize profitability and get a foundation to drive productivity and the right culture in the entire organization.
Ryan Tunis: Got it. And then I guess just, I mean, it’s pretty interesting that you’re finding that you’re actually more productive with so many fewer corporate agents, and yet it still sounds like there’s a strategy to continue to, or to accelerate growth later on in the year. And I guess, are you rethinking that? Why is that the solution rather than to try to figure out like what the right size of the business should be and then continue to, I guess, right size the cost base and continue to grow a decent clip?
Mark Jones: Yes, so we’re going to grow corporate sales, but not indefinitely and forever to an infinite number. We have the productivity now to where it can sustain growth at a reasonable and responsible level, and we would be foolish to not take advantage of that. And we’re creating a pipeline of future highly successful franchisees, as well as creating a pipeline of talent that can manage things like initial partnership lead flow. We don’t have a force of well-trained and highly talented corporate agents. Some of the economics on partnerships maybe a little bit more challenging and so it’s important that we have this W2 workforce that we know we have high quality and we have good control of that we can move around. So corporate is not just a source of new business policies, it’s a great lead flow into the rest of the organization as well.
Ryan Tunis: Thank you.
Operator: With that, I would like to turn the conference back over to Mark Jones for any closing remarks.
Mark Jones: Just want to thank everyone for your participation and good night.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.